Operator: Good day, ladies and gentlemen and welcome to your EPR Properties Second Quarter 2015 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions]. As a reminder this conference is being recorded. I would like to introduce your host for today’s conference, Brian Moriarty, Vice President, Corporate Communications. Sir, you may begin.
Brian Moriarty : Great. Thank you for joining us today. I’ll start the call today by informing you that this conference may include forward-looking statements as defined by the Private Securities Litigation Act of 1995, identified by such words as will be, intend, continue, believe, may, expect, hope, anticipate, or other comparable terms. The Company’s actual financial condition and results of operations may vary materially from those contemplated by such forward-looking statements. Discussion of these factors that could cause results to differ materially from those forward-looking statements are contained in the Company’s SEC filings, including the Company’s reports on Form 10-K and 10-Q. Now, I’ll turn the call over to Company President and CEO, Greg Silvers.
Greg Silvers : Thank you, Brian and good afternoon to everyone. I’d like to remind everyone that slides are available to follow along via our website at www.eprkc.com. As we did last quarter, I’ll start with our quarterly headlines and then discuss the business in greater detail before turning the call over to our CFO, Mark Peterson for a discussion of our financial results and capital market activity. The first headline is continued quarterly performance momentum. This headline is supported by double-digit growth in both revenue and FFO as adjusted versus same quarter previous year. Second, key investment segments demonstrate strong performance. Box office receipts remain on a very solid trajectory toward the year-end; our SKI portfolio finished the year even stronger than we had forecasted at the end of the first quarter; and our Topgolf assets continue to exhibit strong rent coverage and excitement as they open across the U.S. Third, investment spending on strong pace. Our investment spending is ahead of last year's pace at this same period and given our robust pipeline, we remain confident in our investment spending guidance. Four, balance sheet strengthened. Recent amendments to the company's revolving credit and term loan facilities extended the maturity and lowered the rate of the Company's combined facility, enhancing our ability to fund our investment pipeline while lowering our cost of debt capital. With that, I'll now move on to discuss the business in further detail. During the second quarter of 2015, we continued our strong investment momentum with investment spending for the quarter totaling $198.3 million, bringing our year-to-date investment spending to $334.7 million. The quarter spending pace and balance reflects our commitment to disciplined investing and our ability to utilize deep industry knowledge and relationships to continue to access unique opportunities in our primary investment segments. In the entertainment segment, this year's strong start in the theatre exhibition business continued and strengthened through the second quarter. At the end of the quarter, box office revenues were up 8% over last year. What's more exciting is that pricing accounts for only 2% of the 8% increase, meaning that we have seen approximately 6% attendance growth. Notwithstanding the strong film offerings of the first half of the year, industry experts are hopeful that we will maintain this level of out performance for the entire year. If the forecasts are correct, the industry will pass the $11 billion mark in box office revenues, establishing another record year. We continue to see more opportunities to partner with our exhibition operators in the deployment of high amenity theaters with both conversions of existing theaters and new build-to-suit opportunities. The high amenity format has been great success to consumers and has increased revenue generation through growing admissions revenue and higher food and beverage spending. EPR has been at the forefront of these developments and is well positioned to continue to work with our exhibition partners to take advantage of these new growth opportunities. For the quarter, investment spending in our entertainment segment was $36.1 million, consisting of investments in three build-to-suit theaters, redevelopment of two existing theaters, the acquisition of one theater, along with the build-to-suit development of one family entertainment center. During the second quarter, our recreation segment continued to demonstrate its liability. With the SKI season complete, I'm pleased to inform that our SKI portfolio improved its coverage ratio to over two times from the 1.85 coverage that I reported at the end of the first quarter. Additionally, our Topgolf properties maintained their strong lease coverage of greater than 3.5 times. The strong coverage of Topgolf continued even as we delivered new locations, further strengthening our master lease portfolio. Camelback Mountain Resort had a highly successful opening of the Camelback Lodge and Aquatopia indoor water park during the second quarter. The second phase of the water park hotel opened in July and the entire project was completed on-time and on-budget at approximately $120 million. We expect the property to convert during the third quarter from its current mortgage structure into the master lease with the existing SKI property and outdoor water park. Located at the base of Camelback Mountain, this property features a four season mountain adventure experience, combined with the largest indoor water park in the Northeast, which will strengthen the overall Camelback property. For the quarter, recreation spending totaled $57.7 million, which consisted of funding for the construction of the water park hotel at the Camelback Mountain Resort and the build-to-suit construction of 11 Topgolf golf entertainment facilities. In our education segment, the positive growth story across our platform of public charter schools, early childhood education facilities and private schools underpins the compelling opportunities in education facilities today. A new school year is approaching and we anticipate another significant increase in charter school enrollment, building on the existing 3 million students currently enrolled across the nation. Early enrollment signups for the coming year in our private schools and early childhood education centers show strong growth as well. For the quarter, education spending totaled approximately $101.5 million, related to acquisitions and build-to-suit construction of 16 public charter schools, four private schools and 18 early childhood education centers. We continue to see very strong demand for real-estate financing solutions within the education space and believe that our build-to-suit program provides us a competitive advantage in building a high quality portfolio of education facilities. Consistent with our announced plan to reduce our investment with Imagine schools, we sold one facility previously leased by Imagine and leased a second facility to a different operator. The total value of the properties involved was approximately $12 million and there was no gain or loss associated with either transaction. The Adelaar casino and Resort project located in Sullivan County New York remains on track with its approvals. On July 6, 2015 the New York State gaming commission approved the proposed gaming regulations for publication and public comment. While we recognize the desire for greater detail on this topic, the exact timing of the remaining process is still unknown. This recent progress however clears a significant hurdle to the Commission's ability to award the gaming licenses. As we have communicated previously, we anticipate that upon conclusion of this process we’ll have a special call to discuss details of this investment. Our overall occupancy rate remains strong at 99%. We are maintaining our current investment spending guidance at $500 million to $550 million and are highly confident in our ability to meet or exceed this target, given our pace of investment spending. As a whole, our performance during the second quarter reflects our ongoing commitment to managing our existing assets and growing our portfolio with high quality real estate in our three key investment segments. We have a truly differentiated portfolio that is anchored in growing tenant industries with strong rent coverage and an average lease term of more than 11 years. With that, I'll turn it over to Mark for a discussion of our financial performance in capital market activity. 
Mark Peterson: Thank you Greg. I would like to remind everyone on the call that our quarterly investor supplemental can be downloaded from our website. Now turning to the first slide; FFO for the second quarter increased to $64.3 million or $1.12 per share from $50.4 million or $0.94 per share in the prior year. FFO as adjusted per share was $1.08 versus $0.97 in the prior year, an increase of approximately 11%. Before I walk through the key variances, I want to discuss three items that taken together had a net positive impact on net income, but are excluded from FFO as adjusted. First, as you may remember, during the first quarter, in connection with the audit of our Canadian Trust by the Canadian Revenue Agency or CRA, we recognized an additional $6.5 million in deferred tax expense which was excluded from FFO as adjusted, and an additional $1.4 million in current tax expense which was included in FFO as adjusted based on our proposed adjustments -- based on proposed adjustments provided by the CRA. The good news received during the second quarter was that we were successful in refuting the CRA's position, and the examination was completed with no proposed adjustments. Accordingly, we reversed the entry that was made in the first quarter and the resulting deferred tax benefit of $6.5 million along with other deferred tax benefits for the second quarter totaling $200,000 have been excluded from FFO as adjusted. Second, as previously disclosed in April, we amended, restated and combined our unsecured line of credit in term loan facilities. In connection with this, we recognized $243,000 in costs associated with loan refinancing. Finally, we exclude from FFO as adjusted transaction costs, which are required expense per GAAP. During the second quarter we incurred $4.4 million related to potential and terminated transactions which was much higher than normal due to a higher level of such activity. Now let me walk through the key line item variances for the quarter versus the prior year. Our total revenue increased 10% compared to the prior year to $101.3 million. Within the revenue category, rental revenue increased $7.9 million versus the prior year to $77.9 million, and resulted primarily from new investments. The increase from new investments was partially offset by the impact of the weaker Canadian dollar exchange rate versus the prior year of over 12%, which reduced rental revenue as well as tenant reimbursements at our Canadian properties on a comparable basis by approximately $1 million. Note that the increase was partially offset on the total revenue line item by an increase in other income of $375,000 due to favorable settlements of foreign currency swap contracts. When combined with the impact of lower property operating expense and lower income tax benefit as a result of the weaker Canadian dollar, FFO as adjusted per share was lower by a little less than a penny compared to the prior year as a result of the movement in Canadian exchange rates. The second quarter is typically our lowest quarter of the year for percentage rents. Percentage rents for the quarter included in rental revenue were down slightly from prior year to about $100,000. Other income increased to $1.1 million for the quarter, up from $0.2 million in the prior year. This increase was due to $500,000 in fee income and the favorable settlements of foreign currency swap contracts I discussed earlier. Mortgage and other financing income was $18.3 million for the quarter, an increase of approximately $880,000 versus the prior year. The increase was due to increased real estate lending activities, offset by the $76.2 million prepayment received from teak [ph] in December of 2014 and sale of four public charter schools in April 2014 for approximately $46 million. On the expense side, our property operating expense increased by $230,000 versus the prior year due to higher bad debt expense, which was partially offset by the weakened Canadian dollar exchange rate I discussed earlier. G&A expense increased to $7.8 million for the quarter compared to $7.1 million in the prior year, due primarily to an increase in our payroll costs. This was partially offset by lower stock compensation expense, primarily as a result of our former CEO’s retirement. Our net interest expense for the quarter decreased by $548,000 to $20 million. This decrease resulted from interest capitalized on Adelaar of $2.1 million during the quarter, as well as a lower weighted average interest rate. These decreases were partially offset by more outstanding borrowings during the quarter. Turning to the next slide, for the six months ended June 30, our total revenue was up 11% and our FFO as adjusted per share was up 10% to $2.11, certainly strong performance through the first half of our fiscal year. Turning to the next slide, I would now like to walk through some of the Company's key credit ratios. As you can see, our coverage ratios for the quarter are strong, with fixed charge coverage at 2.8 times, debt service coverage at 3 times, and interest coverage at 3.5 times. Our debt to adjusted-EBITDA ratio was 5.6 times for the second quarter annualized and our debt to gross assets ratio was 43% at June 30. Note that we incur a bit of penalty in the debt to adjusted-EBITDA ratio calculation with the almost $400 million we have in property underdevelopment at June 30. We've had to raise capital including debt to fund this amount, which is in the numerator. However, the related EBITDA will not be a part of the denominator until certificates of occupancy are issued for the buildings. Nonetheless as you can tell by all of these ratios and metrics our, balance sheet continues to be in great shape to fund our strong pipeline. Let's turn to the next slide. I'll provide a capital markets and liquidity update. At quarter-end, we had total outstanding debt of $1.9 billion. All but about $170 million of this debt is either fixed rate debt or debt that has been fixed through interest rate swaps with a blended coupon of approximately 5.2%. We had a $100 million outstanding at quarter end on our $650 million line of credit, and with $6.1 million of cash on hand. We are in excellent shape with respect to debt maturities. As of June 30 we had scheduled loan maturities of approximately $65 million for the remainder of 2015, less than a $100 million in 2016 and a $158 million in 2017. Turning to the next slide, as discussed previously, in April we amended, restated and combined our line of credit and our term loan faculties. These amendments increased our borrowing capacity on the combined facility to $1 billion with a $1 billion accordion feature, extended the maturity and lowered the interest rate on each component. Additionally, as planned, subsequent to the end of the quarter, in July we borrowed the remaining $65 million available under the $350 million term loan portion of this facility. These proceeds were used to pay down our line of credit. Subsequent to quarter end, we have also issued approximately 580,000 common shares under our direct stock purchase plan for net proceeds of $32.4 million. We have found this plan to be an effective low across way to raise the equity capital in smaller amounts to fund our ongoing build-to-suit business. Turning to next slide, we are confirming our guidance for 2015 FFO as adjusted per share of $4.34 to $4.44 and our guidance for investment spending of $500 million to $550 million. Including in our earnings guidance, we now estimate G&A cost to total about $31 million for the year. The midpoint of our earnings guidance implies growth in per share results of 6% versus the prior year. I think it should be noted in the fourth quarter of the prior year we booked a termination fee of $5 million related to the pay down of our peak resource mortgage note receivable. Without this large onetime benefit in the prior year, our FFO as adjusted per share guidance for this year implies a growth rate of approximately 9% at the midpoint. When combined with our 6% current dividend yield, we believe we're on track to deliver very strong shareholder results. Now with that, I'll turn it back over to Greg for closing remarks.
Greg Silvers: Thank you, Mark. As indicated by our headlines, the second quarter results reflect a very positive quarter and demonstrate our commitment to our strategy. We remain focused on executing our plan of leveraging industry relationships and knowledge to access and underwrite opportunities that deliver the consistent and reliable results that our shareholders and capital partners expect. Additionally, I want to make sure that people were aware that we're holding an Investor Day focused on our education segment on October 8 at the Grand Hyatt in Manhattan, New York and this will include a tour of our Brooklyn Private School. More information can be found on our website including how to register for that event. With that, I will open it up for questions.
Operator: [Operator Instructions] Our first question comes from the line of Tony Paolone with JPMorgan. Your line is now open.
Tony Paolone: So, I know you have this Investor Day on education segment, but as I look at your spending, the private school segment seems to be outpacing the charter school stuff and I was wondering if you could spend a minute on the background in terms of how you're getting comfortable that that’s a place to put as much as or not more capital into since we've heard a lot of charter schools over the years, but it seems like this private school component is taking more capital at the margin right now?
Greg Silvers: Tony, its Greg. I think that’s maybe an anomaly in this since I don't know that’s going to occur all the time as much as it is. For this quarter we've got several projects that have kicked off with the private school. So we do believe that there is a great opportunity as we’ve talked about in gateway cities for these private schools. It's really nice a nice bridge. The schools that we're talking about, several of them are actually operated off a platform from some of our charter school operators. So it is what we think is a very good bridge to quality education opportunities. But I do think over the long haul, the charger school opportunity will continue to be a driving force in our education platform.
Tony Paolone: Okay, and then on Adelaar, can you lay out exactly what the process is from here and how many other different hurdles need to be addressed? Because it seems like -- I thought that once you guys got awarded that there needed to be some short of due diligence and some pro forma stuff, but its seems like it's turning out to be more complicated than that?
Greg Silvers: Sure, let me tell you what our knowledge of the process. With the regulations adopted, there is a 60-day period for them to accept comments, and then there is a 30-day period following after that, if there is no kind of reworking of the regulations that they could then begin to award the license. So the timeframe that's out there is a about 90-day time frame from the publishing of the regs. So it's just regulatory process that they go through.
Tony Paolone: So that would take us to October, I guess at the earliest, and then there is anything else?
Greg Silvers: I mean it's their discretion upon them -- when they award the license or if they want to hold hearings or anything of that nature. But that is the prescribed timeframe within the regulatory framework.
Tony Paolone: Okay got it. And then Mark, just for the second half of the year, you laid out sort of these tax reversals and so forth. What's the net for adjusted FFO purposes? What's the net for the second half of the year? Is it -- will you have a tax expense or a tax benefit?
Mark Peterson: Tax expense; probably $4.50 a quarter, while saying FFO is adjusted. But by the way there is not much difference in the first half of the year because the expense nearly $800,000 in first half, net-net, forgetting the deferred piece. 
Operator: Our next question comes from the line of Dan Altscher with FBR Capital Markets. Your line is now open. 
Dan Altscher : Kind of a question more so on at a tenant level with AMC, given that there is been some management changes going on there. Is there any thought that maybe you guys have in terms of if there is any change AMC's strategy or anything that you are hearing just at the tenant level that might be helpful for us to understand? 
Greg Silvers: Dan, I’ve spoken with most of, if not all the senior management, including Gerry Lopez, and there does not appear, and they’ve got no stated intent to have any change in strategy. In fact, I think if anything, they’re getting more aggressive with their thoughts on amenity theaters and conversions. I think they've announced in their recent calls they are upping the number of their planned conversions. So I think they are very firmly committed to the strategy and we don't see any deviation from that.
Dan Altscher : And then also the comments you made just about the theaters, with box office revenue and 6% tenants growth; it's pretty hard to think that that’s not being -- the tenant growth side not being entirely attributed to high amenity and rent received [ph] initiatives. Is there any other way to think about that?
Greg Silvers: I actually think that we think -- I think we should always acknowledge that there is a certain level of content driven, in the sense that there a lot of -- but there is no doubt what the research shows, is that the high amenity theaters is drawing new participants or reintroducing participants who had left the exhibition attendance metric, and they are coming back. And I think that’s a very, very exciting thing for the industry. 
Dan Altscher : And just one quick one from me, just in terms of the capital sending guidance, or the investment spending guidance. I think you acknowledged that you are running clearly ahead of first half of last year and the pace is going really well. It seems like you could easily do an excess of the guidance -- you had also reviewed the page 20 of the supplement that looks that build-to-suit spending, but is there anything out there that makes you think that we maybe not -- will not do more than what that the guidance says and why only do a 500 to 550?
Greg Silvers: I think the main thing that driving Dan is the fact that we do so much -- we have quite a bit of build-to-suit and we’ve learned that those two move around. We think we’ll have a better view of those starts in the third quarter, and at this point in time we would be forecasting starts that haven't actually begun yet. So we would like greater visibility before we take that number up again. 
Mark Peterson: Just to add to that, page 20 gets you to about $480 million roughly of things in process. And so like Erik said, you need new starts effectively to get to the 500 or the top end of 550. And although we feel confident of that, it's certainly not in the bag.
Dan Altscher : And maybe just one quick and round that all. So just using the page 20, it seems like very third quarter and the focus at least within the -- in the build-to-suit currently. Is that the right way to think about that; at least within the very near-term is going to be or the rest of the guidance contemplates ahead of your third quarter I suppose the fourth quarter?
Mark Peterson: Heavier third quarter, particularly in service heavy in the third quarter because we have a lot of schools going in service ahead of the school year, with Camelback finishes and completes, although that was mortgage that would convert. So yes, third quarter typically is our highest quarter for in service. 
Operator: Our next question comes from the line of Craig Mailman with KeyBanc. Your line is now open. 
Craig Mailman : Follow-up on the spending question there, Greg I think you said you are highly confident to meet or exceed the spending target here. And I get that from an earnings perspective in the back half of the year it's less meaningful. But I guess my question, as we look into 2016 and look at gross opportunities and the run rate, would you say that even though you guys kept the spending target the same for 2015, maybe the identified volume of opportunities has risen and put you on a better trajectory heading into 2016?
Greg Silvers: I think that is accurate statement. Craig. I think the reality is as we have -- as we've gone into some of these segments, like we said private, early ed, and now we’re starting to find not just the operator we started, but two, three, four additional operators. It creates more opportunity for us, and I think our visibility to that growth, the actual start date of when the project will kick off somewhat moves a little bit from the timing, but the actual depth of the pipeline is better at this point.
Craig Mailman : Go ahead 
Mark Peterson: I was just going to add to that page 20 shows what we expect, things that have started already that we expect in 2016 and you’ll see a much bigger. Of course you’d expect that as time moves on towards the end of year, you have more identified for 2016 obviously, but I agree with Greg, we feel good about what we do this year means for 2016. 
Craig Mailman : And I know you guys talked in the past about the seasonality of starts on the movie theatres. Could you guys -- now that you're doing more in the private schools and charter schools, what's the seasonality there in terms of the construction pushes?
Greg Silvers: It's very interesting Craig, because they are totally different models. The seasonality of a charter school is totally different in the sense that it's absolutely [ph] still only a nine month. So you think some of those will start in the fall for opening for the following fall just for that kind of timeframe. The private schools are -- again we're talking about major gateway cities, where we're talking Brooklyn, the San Francisco Bay Area, those sorts of things and constructing in those drives a longer timeframe. They're generally larger faculties and they also have a larger timeframe for approvals, actual construction. So they're little more complicated. So I would say are probably on the kind of closer to the 16 to 18 months’ type timeframe.
Craig Mailman : And then I know with the transformation in the theater segment going to sort of higher end, you guys haven’t been as worried about exploration and just looking at ‘16, ’17, you guys have eight years expiring any risk that one of those are coupled more or given back or are those kind of stay as it or are those transformation candidates?
Greg Silvers: I mean there is no -- there is no guarantee for anything. I will tell you what we've seen to-date is the fact that we haven't gotten anything back and generally people are wanting to engage us on theaters. So we haven't' had -- we have had on some of these some early renewals in fact. So there are some things that are -- like I said are very positive, but there is -- clearly it's not without risk but risk, we think that we've got good operating assets and that we would be able to either -- the renewer will be able to work a deal with the with an operator because like I said right there is a lot of demand for theater space.
Craig Mailman : Okay and then just lastly Mark, on the Camelback loan, I know it transitioned to mass release. Does it move at all on income statement? Should we be prepared for that?
Mark Peterson: Yes, the move, one of the reasons we called that out is it will move from interest income or financing income to rental revenue.
Craig Mailman : Okay, when does that happen in the quarter?
Mark Peterson: Well, you could probably model it mid third quarter. We don't give guidance on the pixel timing in the third quarter, but mid third quarter would be good estimate.
Operator: Our next question comes from the line of Nick Joseph with Citigroup. Your line is now open.
Nick Joseph: What this guidance assumes for percentage rents in the back half of the year through the year?
Mark Peterson: Really quite a bit lower number than prior year. If you recall last year we had $800,000 in percentage in rents from peak towards the end of the year. That won't repeat itself, and I think the number -- let me get that real quick, and then we’re being a little bit more conservative with our [indiscernible] given the wet Junes. So back of the year has in it -- full year is about $2.5 million and we’ve recorded to date about $400,000 roughly.
Nick Joseph: Okay thanks. And then in terms of current leverage levels, how do they compare with the targets? And then what does guidance assume for capital market sources in the back half of the year?
Mark Peterson: Let me just walk you through kind of how we think about the capital plan. We have a $100 million on a line of credit. Subsequent to the end of the quarter we took down that term debt $65 million and we raised $3 million in direct stock purchase plans. So if you think about it, just apply that to the line, my line is kind of free and clear with the capital I've already taken down since the end of quarter. So $650 million of line credit. Uses wise, if you think about our guidance, we have $216 million of additional spending at high end of the guidance, $56 million of debt payoff. So it's call it roughly $300 million of uses. If you think of that 60/40, that would de-lever us from where we are today. As I mentioned, we're at 43% today. If you think of 60/40 on the $280 million, it would be about a $170 million of equity. But the good news is we have flexibility. I have ability if I wanted to do it all in the line and I still have quite a bit of capacity left at the end of year and my leverage goes up to something like 45%. So I’m at 43. Our plans suggest taking it more down to more like 41, which is consistent with where we’ve always been. But I think I have a lot of flexibility depending the market to determine when and how and how we decide to go to raise equity.
Nick Joseph: Thanks then finally Greg as a new CEO, and as you review processes, should we consider moving the earnings call until the following day?
Greg Silvers: It is something -- I know Michael reached out to me and talked to me about it, and it's something that has come up for discussion. We're discussing in internally. All I can tell you Nick is we are discussing it and I’ll let you know.
Operator: Our next question comes from the line of [indiscernible]. Your line is now open.
Unidentified Analyst: Just kind of curious on the Imagine school back that you sold. What was the cap rate there and also why the switch on the other Imagine school to a differential operator?
Greg Silvers: Again Dan, part of this was -- and remember, the stated cap rate and -- remember because of the effective interest method, we actually also have to overcome some to have no loss or no gain. We have to overcome what would be effectively straight line rent, but it's in the effective interest rate. So I think that the stated cap rate was about 9 on the sell. As far as the change of the operator, again we were approached by an authorizer about changing out Imagine. It met with our strategy of lowering our investment exposure to that, and we worked with the authorizer to accomplish that. 
Unidentified Analyst : Did you have to change the rent or did it just stay kind of at the same level as state impact?
Greg Silvers: I think we did change the rent but we also extended the period. So I don't think we had any real measurable -- any real measurable diminution of the IRR over the life of the asset.
Unidentified Analyst : Sure. And then if I look at page 20, it looks like some projects that were slated to be delivered in the second quarter got pushed into the third quarter. What was kind of the -- what happened with that? Is that actually what happened.
Greg Silvers: It was. It's primarily related to our Brooklyn school, of which we would hope to deliver in the second quarter, but it will be delivered third quarter, prior to school opening. 
Mark Peterson: If you noticed, that was offset by another property that we put in service earlier than planned by about $10 million, because I think the net change was like $33 million difference. And so $43 million of it was Brooklyn and the other $10 million was going the other way. 
Unidentified Analyst : And then how should we think about the deliveries and the timing of those delivers from a modeling standpoint? Is it just the conservative or the right way to think about it is just have all the income from your build-to-suits in the third quarter be delivered on -- or start hitting the income statement about September 1st. Is that fair?
Mark Peterson: I think mid-quarter is a fair convention.
Unidentified Analyst : And then just curious on what you guys did at Camelback building the water park hotel? Is that a model that’s repeatable at some of the other Ski holes that you have? I don't think you have -- many of the Ski holes don't really have resorts or hotels on them or water parks. So just kind of curious if that’s a source of growth for you guys going forward; or is Camelback kind of really a one off type of deal. 
Greg Silvers: I think there is opportunity. I will tell you we've been contacted by several of our operators about that. It really is location driven and dependent if there is enough support for that. And you could downsize that to make it work. So there clearly is an opportunity set but it has to work in conjunction with A, as I said the performance, but also the capabilities. Are they willing to have a professional group come in and manage that? So that we’re not going to let necessarily a Ski operation who doesn't know how to manage that sort of activity or asset -- all of a sudden think they just want it. It has to work, it has to underwrite and they have to have the Skills capability to operate it. 
Unidentified Analyst : And then as far as the development pipeline for charter schools, how much is the new development pipeline buildings, schools for an existing school base. So for instance if you have like a elementary school and those students are trickling on to middle school and then on to high school; how much of you development if you could quantify is from kind of that repeat type of business work, continuing on and in the same type of market?
Greg Silvers: It's actually quite, -- it's growing. You are actually dead on with something in the since that we are being now contacted by -- in markets where we have several charter elementary schools, and now as we been with that group three, four, five years, they are now approaching us about middle schools and with a plan toward a high school. So I would say we’re at the beginning point of that. We probably have three or four junior highs and one high school, but that demand is growing.
Mark Peterson: Right now we have nine expansions going on due to demand. 
Greg Silvers: But those doesn't mean expanding our elementary service as well..
Mark Peterson: Could be matriculating or just demand of the existing [indiscernible].
Unidentified Analyst : And I think you've done quite a bit with Basis. What are their plans for growth and what type of role if you think you'll play in that growth? You’ve been a big backer or Topgolf, and I think you maybe had some exclusivity with them. Do you have something similar going on with Basis and what’s their growth plans as far as you are aware?
Greg Silvers: Yes, we do Dan. We do have a -- much like it's very akin to what Topgolf is. We have a right of exclusivity with Basis for $500 million. That’s a one way meaning that we don't have to do the deal but we have the ability to do that. I think part of that is maintaining their ability and how they roll out, but it's very reasonable to think that they could get on a glide path of one to two private schools a year, and then if you look at those being in the $35 million to $45 million per facility, thinking about just them as an operator, and you start to combine other operators along with the charter schools and early ed and you get to what is a very attractive educational platform that will drive growth for the foreseeable future.
Unidentified Analyst: Okay got it. And then just lastly on the Topgolf. Can you talk about how the coverage has trended there? Are the mature sites starting to see their growth slow at all? Do they have or did they have better coverages as they get easily get older?
Greg Silvers: Actually it's became remarkably stable in the sense that they’re running fairly strong capacities. So they will start off unbelievably and mitigate from maybe – approaching 4 down to around the 3.5 range, which seems to the kind of long-term average for the portfolio.
Operator: The next question comes from Rich Moore with RBC Capital Markets. Your line is now open.
Rich Moore: The number of starts you had in the quarter on various projects seemed to go down. It seemed kind of modest. Is that my imagination or was there some sort of seasonality factor that you're talking about before and are you going to see the number of starts I guess begin to pick up going forward in the various categories?
Mark Peterson: I think you're right, Rich. It was more seasonality and since that we'll see more starts as we get into third and fourth quarter. I think it was a lot of -- if you look in the schools, people are not starting schools now, just because of the fact with starting schools, to just open, from a build cycle it doesn't make sense to start -- to start now. Likewise, we've got 11 Topgolfs going under construction right now, and some of that is their capability, as we've got several of those that will deliver here in third and fourth quarter and they will run right around and ramp back up to more starts.
Rich Moore: Okay, Got you. So you didn’t have anything to do with any change you've made, no rule or anything like that?
Mark Peterson: No
Rich Moore: Okay got you then on the Topgolfs, are you still targeting 30 and 40 a year…
Mark Peterson: Yes, I think it will be around number. I think ours is targeted more at an investment level. So it will be driven kind on the land cost and everything else, but think it will be somewhere in that 25 to 30 range.
Rich Moore: Okay good thanks. And then on the C&L lifestyle portfolio you guys are looking at, is there an update on that? Is there any news about that?
Mark Peterson: No don't think it's -- we don’t think it's appropriate that we comment on anything but beyond just it was again something that is widely published that they were looking at, but we're not get a comment on any specific deal.
Rich Moore: And then -- I happened to be reading an article where Paramount is working I guess with AMC and Cineplex to kind of shorten the time that consumers can get a move at home from 90 days to the two weeks. I don't know if you saw that, and if you did.
Greg Silvers: Yes, Rich. I actually not only see it; I spoke to both CEOs about it. So to Jerry before he left and I would say Cineplex regarding that. They both maintain that A; if you follow what it was is that it’s a very specific scenario. There are horror genre pictures that have a very specific timeframe in which they can operate, and a very short shelf life relative to their viability. It's an agreement that they worked out the -- it actually is that it can go to direct after it goes below 300 screens in the U.S. If you look at their numbers that they earned, over 90% to 95% of revenue in the first 14 days of a horror picture. So the estimate is this would go to direct in day 17 and therefore -- and then they would actually get to participate in the sharing of revenues beyond that. But both were very quickly to point out that this was a test model. They did not think this would go broadly beyond these very specific short genres of certain pictures and that they had not expectation that for the broadly accepted movies, that the 75-day window would change.
Mark Peterson: And Regal the biggest operators come out and said they're not going to participate.
Rich Moore: Okay is it 75 or 90 days? I don’t know if it’s 90 days ahead.
Greg Silvers: The 75 days which is the absolute -- the shortest period that before release to any alternatives, but at that point most films have earned 95% to 97% of their revenue.
Rich Moore: And Mark, could you remind me when the preferreds are callable? Is it anytime in the near future?
Mark Peterson: Well, the two coverts really aren’t callable. They are convertible by the shareholder. We have one that’s callable. I believe -- why don’t we get back to you? It’s a five-year call. So it’s got to be. It’s 18 I think, in terms of the…
Rich Moore: And then last thing guys is, did you say Mark that bad debt expense was up for the quarter?
Mark Peterson: Yes. 
Rich Moore: And what was the bad debt expense on?
Mark Peterson: It was really tenant add FEC family entertainment center that we've had cut out of our guidance all year long but we’re still recording revenue and bad debt expense because they are making progress. We’ll see whether they survive or we’ll get another tenant into replacement. 
Rich Moore: So it's just that one guy?
Mark Peterson: Yes. 
Operator: Our next question comes from the line of Jane Wong with Bank of America. Your line is now open. 
Jane Wong: Just kind of a housekeeping question. For the theater acquisition in the second quarter, what was the cap rate? And can you give us an update on what you’re seeing in terms of the acquisition environment, what’s in you pipeline and the competition you are seeing? Any increase in assets available for sale?
Greg Silvers: Sure. The theater acquisition was around an 8. It's -- there is no doubt Jane that there is significant competition for standing inventory. There is a lot of both public REITs and other private owners that will actively pursue that. We've said that market is down. The cap rate compression is pretty significant. Those are not the kind of cap rates we’re enjoying in our build-to-suit program, but we thought that was an opportunity for us to buy an asset that will -- is in the process of being converted. So there may be an opportunity for a deployment of capital that would change our returns. But I think overall you are looking at a market that’s probably comfortably in the somewhere 7 to 7.5 for stating inventory on theaters and it probably goes below that on the coast.
Jane Wong: And what about for the other [indiscernible] segments?
Greg Silvers: I think as we said, clearly the broadest market that we have, early childhood education we see a lot of those. We’re building those. Those are in the low 7s. We’re starting to see charter schools that are trading in what I would call mid to upper 7s. We traded at Imagine like I said at a 9. Now it’s had somewhat of a troubled name. So we thought it was the right thing to do for our asset management. But I think there is no doubt that these assets are trading one of our public REITs competitors get a Ski deal at 8. So I think cap rate compression is there. Now we've been able to maintain what we think are nice spreads relative to that, and our ability to access product that others are not -- not necessarily -- we’re not necessarily executing on well circulated bid processes. We’re accessing our product through our relationships and we think we’re able to be value add in that equation.
Operator: At this time, I'm showing no further questions over the phone. 